Operator: Good morning. And welcome to TILT Holdings Fourth Quarter and Full Year 2020 Earnings Conference Call and Webcast. This call is being recorded for replay purposes. A replay of the audio webcast would be available in the Investor section of the company's website approximately 2 hours after the completion of the webcast and will be archived for 30 days. I would now like to turn the conference over to your host, TILT's Director of Investor Relations, Taylor Allison. Please go ahead.
Taylor Allison: Thank you. Good afternoon, everyone and thanks for joining us today. TILT Holdings fourth quarter and full year 2020 financial results were released today. The press release financial statement and MD&A are available on SEDAR as well as our website tiltholdings.com. Please note that during this morning's webcast remarks made regarding future expectations, plans and prospects for the company constitute forward-looking statements within the meaning of applicable securities laws. Actual results may differ materially from those indicated by such forward looking statements as a result of various factors, which we disclose in more detail in the risk factors section of management's discussion and analysis for the three and 12 months ended December 31, 2020, filed with the applicable Canadian Securities regulatory authorities and can be found on sedar.com. We remind you that any forward looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent date. While we may update such forward looking statements in the future, we specifically disclaim any obligation to do so except as otherwise required by law. Please note that on today's call, we will refer to certain non-IFRS financial measures such as EBITDA, adjusted EBITDA and gross profit margin excluding changes in the fair value of biological assets and inventories. These measures do not have any standardized meaning prescribed by IFRS and may not be comparable to similar measures presented by other companies. So consider these certain non-IFRS measures to be meaningful indicators of the performance of our business in addition to but not as a substitute for our IFRS results. Reconciliation of such non-IFRS financial measures to their nearest comparable IFRS measure is included in a press release issued today. As a reminder TILT completed the sale of Blackbird on November 30, 2020. On our full year and comparative financial statements, you can see Blackbird as discontinued operations in the income statement and statement of cash flows. A more detailed breakdown of Blackbird is available in Note 4 of our financial statements. Unless otherwise specified, the results discussed today will be from our continuing operations. On today's call are Mark Scatterday, Chief Executive Officer; Brad Hoch, Chief Financial Officer; and Gary Santo, President. Mark will begin with a high level review of 2020 followed by Brad who will provide an overview of our financials during the quarter. Gary will then discuss recent developments and operational highlights after which the team will take questions. With that, I will now turn the webcast over to Mark.
Mark Scatterday: Good morning, everyone. And thank you for participating in our fourth quarter earnings webcast. The top priority for this year was to bring TILT to profitability. I'm proud to say that we've accomplished that goal. And with the addition of Gary, we've solidified our long-term strategy and have established steady growth trajectory. Let me review the three big milestones we've reached during 2020 in greater detail. One, bring TILT to profitability. For the full year 2020, we generated $16.9 million in adjusted EBITDA from operating activities and $16.7 million in cash flow from continuing operating activities. This is in comparison to an adjusted EBITDA loss of $0.8 million in cash flow used in operating activities of $17.6 million in 2019. This $17.7 million improvement in adjusted EBITDA year-over-year was driven by achieving greater scale in our plant-touching operations, bringing shared expenses to the corporate level, and a strong focus on cost control across the organization. This focus on profitability will only improve in 2021. The steps we've taken this year set TILT up for success going forward. And we expect adjusted EBITDA in 2021 to be between $30 million and $32 million. We can sell fund operations and growth and are less vulnerable to macro conditions that affect the capital markets. Two, solidify TILT's strategy. With Gary as President we undertook a full strategic review of the company looking at capital allocation, and how we could best generate shareholder value. Blackbird was an asset with a lot of potential, but it drew heavily against resources that could have been deployed in areas that would generate more immediate returns. We reorganize the business, streamlining Jupiter as a cash flow steady business with access to 1000s of B2B cannabis customers and redeployed our capital into our plant-touching businesses. We are leveraging relationships across the business to cross sell services, and growing our platform as a unified B2B company. Gary will touch on this in greater detail, but we are also taking significant steps to turn TILT from a holdings company into an integrated operating company and putting the right leaders in place to drive our next growth phase. Three, establish a steady growth trajectory. After facing two macro events within the last two years, which created the perfect storm for business, we stabilized Jupiter and diversified our business with more revenue from our plant-touching assets. We generate a sequential sales growth in back to back quarters and expect to continue this trend through 2021 with a full year revenue outlook of $205 million to $210 million. Last year was a productive year for TILT. We brought TILT to profitability, solidified TILT's strategy and establish a steady growth trajectory. I'm proud of the hard work the team did this year, under difficult circumstances. TILT has never been a better position for success, and I feel extremely confident in the company's future. With that, I will now turn the call over to Brad who will break down our quarterly financial performance in more detail.
Brad Hoch: Thank you, Mark, and good morning, everyone. As a reminder, results discussed today are in US dollars. TILT completed the sale of Blackbird on November 30, 2020. On our full year and comparative financial statements, you can see Blackbird as discontinued operations in the income statement and statement of cash flows. A more detailed breakdown of Blackbird is available in Note 4 of our financial statements. Unless otherwise specified, I'll be discussing the results from our continuing operations. Fourth quarter revenue was $42.3 million at the top end of the range we pre released in February, up 8.1% sequentially, driven by modest growth in Jupiter's quarter-over-quarter revenue and a 34% increase in plant-touching revenue from Pennsylvania, Massachusetts.  This high margin business continues to be the fastest growing part of our operations. Gross profit before fair value of biological assets was $11.3 million. Gross margin of 26.7% compared to 31.3% in Q3. Gross profit was impacted as new rooms at our Massachusetts cultivation facility came online, producing costs prior to new harvest being ready for sale. We expect this to improve as we get closer to full utilization from this facility. Total operating expense for the fourth quarter was $49.7 million. This includes $34.1 million in impairment of goodwill, intangible assets and property plant equipment. The impairment is a result of aligning the company's strategy focused on synergistic cash flow positive businesses. In connection with the sale of Blackbird, the company reevaluated and ultimately wrote off its non core assets, including Baker technologies and Sante Veritas. We also recognize impairment charge due to the lowering carrying value of goodwill at Jupiter due to a change in the discount rate. The cash related operating expense was $8.3 million flat compared to Q3. On a year-over-year basis, our cash related operating expense declined by 17.7%. As Mark discussed, bringing shared services, costs to the corporate level, and a focus of company wide cost control have proven successful. You'll see an increase in absolute expense over the coming quarters as we continue to build out our team and invest to scale, but we expect it to fall as a percentage of revenue, especially once new cultivation in Massachusetts comes online. The company recorded net loss from continuing operations of $45 million. This is primarily due to $34.1 million non cash impairment loss on goodwill, intangible assets and property plant equipment, as well as $16.4 million in loan losses primarily related to the previously press released Ermont note assignment. None of these write-downs impact our core business or reflect the underlying profitability of our continuing operations. Adjusted EBITDA, a much better view into the performance of our ongoing operations was $4.5 million in the quarter, or approximately 10% of revenue. This was our fourth quarter in a row with positive adjusted EBITDA. We expect continued improvement in adjusted EBITDA as we generate more operating leverage for our plant-touching businesses, while Jupiter continues to be a steady mainstay for profitability and growth. Cash flow provided by continuing operating activities in 2020 was $16.7 million, a $34.2 million improvement from 2019. The profitability levels demonstrated this year allows us to self fund our growth initiatives. We ended the quarter with $7.4 million in cash, which is especially strong since Q4 is typically our most cash consumptive period.  With that, I'll pass the call over to Gary for an in depth look into what we are doing to drive additional growth.
Gary Santo: Thank you, Brad, and good morning, everyone. As Mark pointed out in his comments 2020 was a seminal year for TILT. Not many publicly traded companies had the opportunity for a second act and the team embraced that opportunity to strengthen the foundation upon which we've now been able to return to growth. That said we do find ourselves at a crossroads as TILT was originally formed as a holding company, and as a result has often been viewed as a disparate collection of subsidiaries. When I first joined the firm last July, just about every conversation I had with the market started with someone saying that they cannot understand how the pieces fit together or what the overall strategy was. It became apparent early on in our strategic planning process that if TILT were to achieve its potential, we would need to shed that holdco persona and transition towards becoming an integrated operating company. It is always a difficult task to integrate multiple business lines in any industry. However, I've always thought of cannabis as the worst integration story ever told. Unless you operate in a single jurisdiction, fragmentation within the regulatory environment creates roadblock after roadblock for companies trying to achieve the kinds of synergies that just about any other manufacturing and specialty retail company enjoy. To combat these challenges requires a focus leadership team committed to a strategic vision, nimble enough to navigate an ever changing landscape and capable of executing at the highest level. A lot of companies throw around the word, execution. There's a word constantly used in the capital markets and a metric that separates aspiration from accountability. Delivering shareholder value through the implementation of strategic initiatives depends on management's ability to execute in a timely and efficient manner. With that latter point being the ultimate key to success are too often action is mistaken for execution, and investors are left to determine whether or not true progress is being made. For TILT, if 2020 was about achieving profitability and stabilizing the core, 2021 is about execution, plain and simple. When last we spoke in November, we made it clear that our strategy was not to compete with other multi state operators, but to be their B2B partner of choice. Introducing a strategy of partnering with brands allow us to leverage our robust cultivation, manufacturing and distribution capabilities and bring premium brands and products to the other dynamic markets in which we operate. Within 90 days of announcing that strategy, we signed our first such brand partnership with Her Highness, a female focused cannabis brand created by women for women. And 30 days later, we launched their products on our dispensary shelves throughout Massachusetts despite numerous supply chain and regulatory challenges. This is how we define execution. And the results have been fantastic. Brands have taken notice of the speed at which we are able to deliver and the value we provide and faced with limited options to expand their reach without becoming beholden or captive to traditional multi state operators, or expanding significant capital to obtain the kind of infrastructure that we already possess. TILT presents a clear option and a nimble partner capable of providing meaningful exposure in our high priority limited license markets on the east coast. To deliver these kinds of results, we have had to address the kinds of inefficiencies, duplicative efforts and miss sales opportunities that siloed businesses within a holding company often experience. Since late 2020, we have undertaken numerous steps to synchronize and integrate strategy, sales, finance and accounting, marketing, HR and compliance functions, bringing them up to the corporate level in order to ensure a cohesive infrastructure that will allow us to efficiently deploy consistent resources across all business lines, and achieve economies of scale that often elude cannabis companies. We've been blessed with an incredible and adaptable team, and one of my jobs has been to surround that talent with the resources and leadership that they need to succeed. Over the past few months, you've seen a number of announcements regarding key hires we have made, all of whom will prove critical to driving our next wave of growth. I'd like to take a moment to highlight a few of the many impressive people we've had the privilege to add. It all starts with a focus on our people. And our latest hire demonstrates our commitment to creating a welcoming inclusive environment where professional development is as important as delivering bottom line results. Our new Senior Vice President of Human Resources, Darryl Henderson will draw on over 30 years of experience as an HR executive to ensure that we continue to attract and retain the highest quality talent and build the type of inclusive and supportive culture across all levels of the organization that TILT wishes to have. A focus on compliance and social equity are equally as foundational to what we believe in and core to running a successful cannabis business. To that end, we've bolstered our compliance and regulatory team adding Nikki Moyers as our Vice President and Head of Compliance. Nikki has spent the last decade working in government and public service, most recently with the Pennsylvania medical marijuana program. We did not stop there, however, also adding Patrick Beyea as Director in our compliance team. Before joining TILT, Patrick worked as Director of Investigations at the Massachusetts Cannabis Control Commission. We've also redeployed Jupiter's incredible marketing team to the corporate level as a shared service, adding Roseann Valencia-Fernandez as our new Vice President and Head of Marketing. Roseann will leverage her extensive experience both in traditional CPG and the cannabis industry at large to help redefine and reposition TILT, its subsidiaries and the brands that we work with across the broader cannabis industry.  The changes we continue to make throughout the organization have already started to pay off, both in terms of our ability to execute at a high level as well as our standing in the marketplace. For example, in Massachusetts, we are pleased to report that the cannabis control commission's investigation into TILT has been completed. Based on recent discussions with the commission, we believe that the finish lines to resolving our adult use licensure issues are within sight. As a result, we are reasonably confident that the matter will be resolved well before the end of the second quarter, allowing us to begin the process of getting our Brockton and Cambridge dispensaries open while adding adult use to our existing content dispensary. We continue to expand cultivation in Massachusetts and are seeing not only increased capacity, but higher yields. Harvests fail rates that were in the 30% range in 2020 are now in the single digit range. And we're just getting started. Our initial set of six new rooms at CAC had their first harvest in March, with a second set of eight additional rooms approved earlier this year having been planted with first harvest expected in the coming months. Having now more than doubled our canopy in the last six months, we expect to begin reaping the rewards of our efforts in the second half of this year. And we remain extremely bullish on the Massachusetts market as well as our ability to continue to produce high quality products.  In Pennsylvania, yields continue to improve and over the last six months, we've undertaken additional upgrades to cultivation that we expect to complete by mid May. In March, we achieve record sales in flower while also achieving our highest THC levels to date. We continually look to expand our product offerings, including launching our first topical as well as higher potency capsules to meet overwhelming demand. Similar to Massachusetts, the demand from our wholesale network remains high and we continue to see an increase in requests for white label products and contract manufacturing as brands continue to seek out our limited license East Coast markets, and existing operators look to our capabilities and expertise to bolster their supply and ability to deliver. In March, we entered our third market with standard farms Ohio, completing our acquisition of a manufacturing and processing facility there. Given the uncertainty as to when closing would occur, we did not include Ohio in our 2021 guidance, however, look to take advantage of the earlier than expected close by making some small CapEx investments to further expand the capabilities and product offerings we can bring to that growing market. TILT is now operational in three high priority limited license fast growing East Coast markets, making us an attractive partner for brands and MSOs who want to partner with us so that we can provide access to our 165 dispensary network that we currently sell into and do not look for us to stop there.  At Jupiter, we shipped a record number of cartridges in Q4 as demand for cannabis grows across America in the world. We also posted our highest sales orders in the month of February orders that we expect to be delivered throughout the second quarter. Our expertise in managing complex supply chains continues to make us a dependable go to source for products throughout the year, even when other competitors have struggled with inventory shortfalls, something we saw in the first and third quarters of 2020. This has led to new customer wins for Jupiter and an increased share of orders from customers that use multiple suppliers. Put simply, we're building TILT as the preferred B2B partner for MSOS, Canadian LPs, independent cannabis dispensaries and brands. Taken together we offer a highly differentiated business solutions platform that offered current and potential partners answers to strategic needs and inhalation, product development and provisioning in major supply constrained markets. It's evident that the new strategy at TILT is working. We're seeing success across all business lines, and have the resources and people in place that will allow us to continue to execute and grow our business. But we do not believe that the market has fully appreciated TILT's value proposition with positive EBITDA and continued positive cash flow from operations and emphasis on responsible growth, cost control and achieving economies of scale, we know that this is not a permanent condition. With that we conclude our prepared remarks and now open the call to questions. Taylor?
Taylor Allison: Thank you, Mark, Brad and Gary. We will now be happy to answer your questions about TILT and our fourth quarter and full year 2020 results. 
Operator: [Operator Instructions] Our first question comes from the line of Aaron Grey with Alliance Global Partners. Please proceed with your question.
AaronGrey: Hi, good morning. Thanks for the questions and congrats to the finish of the year. So first question for me is on the guidance specifically on the plant-touching side. I'm just curious as to what's embedded in that for Massachusetts and whether or not you have and -- the potential to use sales on the retail side as impacting sales, or would that be upside to the guidance? So just that clarification would be helpful. Thank you.
GarySanto: I have been first and thanks Aaron for the question. And then Brad, maybe you can fill in around the edges. So the way we constructed the budget this year was very conservative. And I'll talk about a couple of pieces. As you heard me mentioned during the prepared remarks, our overall fail rate in our legacy grow has dropped significantly from where it was in 2020. That said all those new grow rooms that we planted so 14 rooms in total. When we did our budget estimates we did not assume the same type of success harvest there. In fact, we assumed more of the older harvests fail rates, giving ourselves a little bit of cushion. These are new rooms; there are some new lights and new HVAC systems we're using. So we didn't price to perfection. Similarly, as we look at the dispensary themselves, obviously we have our Taunton medical dispensary open and we continue to have record performance from that dispensary over the last couple of months. However, as we look to the other dispensary, so Brocton which would be medical and adult use, adding adult use to Taunton and then medical only for Cambridge, at least for the initial time period. We really didn't assume any impact until later in the second half of the year. I think we had Brockton, maybe opening up right before summer for medical only, and then maybe adding adult use in Taunton sometime late summer and then Cambridge and adult use in Brockton not coming on so towards the end of the year. So we were not particularly aggressive in how we thought the timing of the stores would go so. Brad, anything you want to add on that?
BradHoch: I think based on all of that, what you're saying it scene is, we're confident and not ready to adjust any type of forward guidance quite yet.
AaronGrey: Okay, great. Thanks for the clarification. And just thinking about Massachusetts, one more quickly. So you guys were at the, I think about 56,000 square feet of cultivation there you guys have had a couple additional expansions over the past couple months for approval. So how do you guys think about potentially getting to the max cultivation about 100,000 square feet? I believe in the state and timing of that? Are you comfortable with most recent expansion initiatives that you had? And then you're kind of focused on the retail right now, before we get back into cultivation or just kind of curious on that, especially given the wholesale prices that continue to be pretty robust there.
GarySanto: Sure. And you're right; the wholesale prices are relatively amazing. Frankly, it has caused people to ask us are you sure you want to do this brand strategy, and look, we think that those prices are probably rented space as more grows come online, or as we expand our own grow. We want to be in position a for when the market starts to pivot away from such high wholesale flower prices, and starts looking more at what we think the future is CPG. With regard to the space, so it's not 56,000 square foot, that's the square footage of the actual rooms. But I would say is those new grow rooms, we added have the ability to add a second tier of grow, we have all the equipment, we have the lights.  Now, it's not exactly a multiplied by two moment, because obviously, of all the equipment itself that takes up space. So we can add more canopy even in the 56,000 square feet. We currently have just by going to the second tier, but we do have space on the property, we could max out at the 100,000. What we've been looking at is from a demand perspective, we're taking a little bit of a different tack in terms of how we choose to plan or grow. A lot of firms plant what they plant harvest when they harvest and then get about the business of selling the products after they've produced them. We're taking a slightly different path where we'd like to try to pre sell as much of our grow before we even harvest it, whether it's going to be turned into a concentrator or packaged good or whether it's just going to be flat out wholesale flower. So as we think about that expansion, there's always the question, if you're going to need biomass do you spend for an indoor grow? Or do you just drop some greenhouses, they're pretty efficient, we use them in Pennsylvania. So I think and how we choose to top out that 100,000 square foot, we're going to be very tactical, making sure that we understand the kinds of products we expect to get out of that grow, and what the most efficient use of capital is to bring that grow online. So I would say there's nothing imminent in our plans, but certainly we've got the space. And if the demand continues to improve, we certainly have the resources to expand that growth we need to.
AaronGrey: Really helpful color there, appreciate that. Last one for me, on the Jupiter side of the business. Mark I would love to get some color from you in terms of how you're looking at that business in 2021. Particularly, maybe from a geography perspective, adult use sales just came online in the state earlier than we expected. That's your guy's home state. So wondering if that provided some nice upside to your guys, top line revenues there. And then, more broadly speaking, how are you looking to drive that top line growth, and we often talk about innovation, being a key part to the Jupiter story. So we'd love to hear maybe some of the initiatives you have there as well. Thanks.
MarkScatterday: Yes, great to chat with you, Aaron. Absolutely, Arizona since when adult use we've had huge uptick, it's our own backyard. And we've got, we've established a lot of relationships, continuing those relationships, really since we started the company. So it's really great to see those customers that bought the Jupiter products early on, really grow and succeed. And so that's been really exciting overall more broadly the market is, Jupiter's just doing fantastic. We are really investing in the future, and we're really investing on the technical on the technology side and the innovation. We're doing build outs, continuing the expansion of our laboratory and our R&D space within our building. And we're investing heavily in innovation. And again, I'm spending a lot more time in myself right now focused on what those new opportunities look like and translating into commercialized products. So we're looking, our business model is different than our competition. We're really focused on innovative products, unique products that are exclusive to Jupiter. We're continually really leaning into the CCELL brand and really looking at foundational technologies that we can produce. What new platforms and new products around those.
Operator: Our next question comes from line of Joe Gomes with NOBLE Capital.
JoeGomes: Good morning, and thanks for taking my questions. The first one there's been a lot of in the news discussion about difficulties in importing product, especially from the Far East, either in terms of getting space and/ or higher rates for importing. Are you seeing any of that or have any of that occurred for you guys on the Jupiter side?
BradHoch: So on the -- we are definitely seeing the higher rates, especially in the -- on the -- when we have to ship something air. But as far as the -- what some of the -- our competitors are seeing with issues of bringing inventory in, we don't have that issue, we feel like we do a superb job of our supply chain management, as well as our demand forecasting. We're talking to our customers continuously and understand their demand and what their future, immediate future looks like. So we have a good idea of where our inventory levels need to be. So we don't have those, the shortfalls of some of our competitors.
GarySanto: And I would actually add, Joe, that the, I think it does have to do with the ability to manage a complex supply chain. I think if you just allow a lot of our customers to order when they're ready to order, and they're generally ordering when they need something right away. So we've been around that block enough times to know to get in front of that to work proactively with them. In fact, how we built our budget and put our guidance together was by reaching out to all of our Jupiter customers to get their intended buying patterns. I think it's also important to have working capital. You can't place the orders unless you have the money to pay for the orders in advance. And we're fortunate that we are a profitable company with access to capital. So when you look at our fourth quarter, for example, it's our most capital consumptive quarter, because we're managing through Chinese New Year, and placing a ton of orders that we won't actually deliver until January, February, March. So I think the fact that this year, we were able to almost double our cash position from the third quarter, the fourth quarter speaks to how strong the overall TILT business really is. So willingness to manage it, and manage the supply chain ability to manage it. And then having the capital that allows you to manage it. I think are all things that give us a unique advantage.
JoeGomes: Great, thanks for that insight. And one of the goals that you guys have put out is for all term is cross selling your customers getting them both on the, as a customer, the plant-touching side and on the Jupiter side, and just trying to get an idea of how many of the customers today do both? How's that trend been going? What do you think your goal is in terms of the percentage of customers, you think you can get to that, that you are for lack of a better term cross selling to?
GarySanto: Yes, so about 20% of our revenue today comes from customers that are both customers of Jupiter, and customers of our plant-touching assets. And I would say that we've not aggressively been pursuing that model until recently. So some of that's been almost by happenstance. So I think for us, the more brands we can convert over, so it's about 700 brands that Jupiter works with, and that is comprised of MSOs, Canadian LPs, and then traditional independent brands. I think for us, the more we can convert, the better. It doesn't work for everybody. For some -- in some instances, if you're just a standalone brand, and you might already be in one of the states that cross sell might not be as strong of an opportunity. But we found that since we've empowered the team with the ability to approach price and product skews and offerings leveraging plant-touching together with the Jupiter hardware capabilities. We're getting a lot of interesting responses now. Certainly, we're seeing it, honestly almost more on the Jupiter side right now than the plant-touching side. Our sales are up at this point. So I think it's early days to be able to say exactly what our target is. There's a great efficiency there. So I don't think we'd ever want to cap ourselves and say as soon as we get to a certain number we're done. But I think the sales team is pretty excited about having more tools in their toolbox. I mean, even just you take a look. Cross selling goes by beyond even just our own brands, as we work with brands you look at that Her Highness example and going out and launching in Massachusetts that had us on the phone with another reason to talk to our dispensaries, and we were able to increase the amount of our own CAC product we were able to sell as a result of those calls. So the cross selling moves in a lot of different ways. And it's something that we're really excited about.
JoeGomes: Great. And one last follow-up for me, if I may. Obviously, again, as you know, this is really early days. But you're in the Pennsylvania, Mass, Ohio markets in two neighboring states, New York, New Jersey have mentioned or recently approved cannabis on the adult side. Are those two markets that you'd be interested in moving into?
GarySanto: I mean, look, those markets fit the strategy nicely, because if you think about the concept of wanting to bring premium brands from the West Coast to the East Coast. If you had a Nexus that included Massachusetts, New York, New Jersey, Pennsylvania, and Ohio, that's probably your mass-affluent section that you'd want to go after, right? That's the group most likely to pay the premium price. So I think those are markets that were definitely taking a long hard look at. And having grown up in New York, I would be remiss if I didn't give a long, hard look at my native state. So I think there's nothing imminent that we can report on. But these are opportunities that we are always investigating.
Operator: Our next question comes from the line of Jon DeCourcey with Viridian.
JonathanDeCourcey: Hey, guys, congratulations on the execution. Just a couple quick questions out of me, okay. So following up on the cross selling statistics at 20% level, what does that number kind of look like in Massachusetts or Pennsylvania, where you have the plant-touching assets? I assume it's significantly higher. But any specific number that you can kind of point out to?
GarySanto: We haven't really broken that out publicly. Brad, do we have anything we can share at a high enough level not to get us in trouble?
BradHoch: We don't right now. Unfortunately, we'll take that note.
GarySanto: Maybe we can give like a case study or something like in one of our decks as example of and maybe that's a way we can back into that.
JonathanDeCourcey: Okay. Yes, that makes sense. That makes sense at some point I mean -- but I guess it's safe to assume that's a lot higher than that 20%. So that's a good starting point I assume.
GarySanto: Yes. I think the thing you have to remember there, Jon, is obviously the regulatory regime in each of those states. Now, in terms of vaping the good news is, that's a big seller in both markets. I think we're seeing a little bit of an evolution in Pennsylvania that other form factors are starting to take hold a little bit more. So I think as you kind of triangulate in on who could be a customer of both that also can sort of inform your view a little.
JonathanDeCourcey: Okay. Another question regarding Jupiter. The push to Greenland merger with testing another one of the CCELL license holders, does it change the dynamic at all for Jupiter given the one would have been, plus would have a significant higher bandwidth to distribute a this point?
MarkScatterday: We're a different business model with Jupiter. We've had no problem winning customers in the past, really, from both of them. We feel good about our competitive position, and our customer offering. We definitely carry superior products and proprietary products all being CCELL. Major strength of ours is superior customer service and our supply chain skills, as we talked about previously. You rarely hear us talk about having supply chain issues, and getting stuff to customers.
JonathanDeCourcey: Okay. Another question regarding the branding strategy. So the Her Highness launch was obviously successful in Massachusetts. And I know you want to take on more brands here. Just kind of what's an ideal portfolio? Is this just as many brands, they want to be partnered with or is this or is there kind of a thought that there's a ceiling on five, six, whatever brands per category or something like that. Actually kind of think about that.
GarySanto: Yes, you're spot on, Jon, and pointing that out. I don't think we want to overreach. Our goal is to create a bit of a curated portfolio of brands that compliment each other. So if you kind of think about a grid, where you have a number of price points or quality points, then there's certain form factors that go into that. The last thing we want to do is have brands colliding with each other because every brand we talked to always start the conversation by saying, I want to be a top three brand in your market. And not everybody can be and frankly, it also depend what form factor you're delivering in and how will that brand play when you come from west to east.  So I think we're being very methodical and very tactical, and building that grid out to make sure we do have complimentary products each step of the way. Do I know if that would be five or six or seven? It depends because certain brands definitely have more capabilities than others, some might only have one or two SKUs that they look at others might have 25. So I think it's a little bit of a case by case decision. But tactically, we are looking at it. This isn't an economy of scale, where we got to get 50 brands for this to work. So it's very intentional, the model we've rolled out is not your typical contract manufacturing, we're not just doing straight licensing fees. So that gives us the flexibility to be very discriminating.
JonathanDeCourcey: Okay. And then you mentioned the kind of a continuation of the kind of on demand to wholesale buying patterns, the customers that have plagued me guys and others in the space for a while that you've navigated. Do you think that -- are you starting to see any semblance of longer buying patterns amongst customers with folks starting to kind of stockpile inventory here ahead of increased demand? Or is there continued steady as it goes short term buying trends? I guess the question is, is the market easing up here for wholesalers and distributors of big products and things like that for you guys, with demand looking better and the economy looking a little bit better?
GarySanto: I think the overall buying patterns have returned to a certain extent, Brad, you could talk more on the Jupiter side. But on the plant-touching side, buying patterns have somewhat persisted. I mean, COVID had definitely had a lot of these dispensaries in un-chartered waters in the beginning. Probably some had no choice but to play it close to the best because they didn't even know how many hours they could be open and in what capacity. I think in Massachusetts, we continue to sell through everything we produce, and there's really been no slowdown in demand. I think in Pennsylvania form factors have become a little bit more important. So I think that's something we're taking a look at what's clear, is anything that comes in high potency, so we had lower potency capsules that weren't selling quite as fast. Took the same capsules increase the potency, and now we can't keep them on the shelves. So I think it's really keeping ahead of the demand curve and making sure that you're doing outbound work to know what kind of form factors are really moving. As we start to see more of the innovations come from West to East, you're seeing live resins become the flavor of the week, so to speak.  I think we're seeing some of that migration. So as long as we stay apprised of ahead of that curve. I don't see any slowdown there. The only thing I think I mentioned earlier is how long will these wholesale flower prices continue to persist, where you could just put flower in a bag and sell it for 1000s of dollars. I think that's the one that is more of these grow come online, you'll start to see a little more normalization. That's why we're positioning ourselves for more the CPG to complement that. So, Brad, any comments on Jupiter and the demand you're seeing there?
BradHoch: Yes. And actually, Gary, you touched on it in your prepared remarks with, in February, a short month, we, Jupiter experience the highest sales demand and orders taken in the history of the company. And we also pre-released the Jupiter cartridge sales in the month of January was the highest in history. So we're definitely seeing in Q1, some very positive developments with as the economy continues to expand and we further ourselves away from the vape crisis that we experienced in 2019.
JonathanDeCourcey: Okay, great. And then just one last one for me is so Gary started to kind of talk about it the message of pricing dynamics with more operators building out assets, but and you guys are obviously planning for this by focusing on the brands, et cetera. But if somebody is trying to follow the wholesale market in the state, truly, how long do you think the flower bag for 3000 bucks is going to persist here? When do we get there? Is it a year out? Is it two years out? Or what are we kind of thinking here in terms of a tipping point when things drop to kind of normalized level?
GarySanto: If I could predict it accurately, I'd be in Vegas right now, not here. But I think directionally I feel like it's a 12 to 24 month kind of a condition. I'd be surprised if 24 months from now, it might even be 12 to 18 months if we're still sitting there. And look, there will be exceptions, right? Depending on the flower you're growing. Is it a premium strain? Is it a boutique strain, so you might still command that but just generally speaking to your point selling flower and a bag for those kinds of prices? It certainly feels like you can't have all these 100,000 square foot facilities coming on board and still have a year and a half, two years from now, these kinds of elevated prices. So I think we have at least a good 12 month runway in front of us. I think you're probably starting to tail a little bit after that. But you never know I mean, in Massachusetts is an interesting market whenever you try to predict what's going to happen there.
Operator: At this time, I'll turn the call back over to Taylor for additional questions from the web.
TaylorAllison: Thank you, Melissa. I think most of the questions that we've gotten have been answered, one that does keep coming up is could you, and this is directed at Gary. Could you please talk about the CCC change of ownership, the agenda item on tomorrow's meeting?
GarySanto: Sure. That's a great question. I know a lot of our folks out there seem to be like hovering on the CCC websites. So the Cannabis Control Commission has a monthly meeting. In fact, the April meeting is scheduled for tomorrow. And the agenda usually comes out about 48 hours ahead of time. And a lot of folks saw our CAC listed there and got really excited and then saw it said change control. And we're trying to figure that out. So a couple things with the change of control. As part of our streamlining process, as part of the sale of Blackbird, we had an opportunity to do a little bit of reorganization of our subsidiaries. So one of the name changes occurred, required that we filed paperwork for change of control. It was also adding me as a person of control to that application. So I think from us, when you take a look at that the track record of what's been happening, we had our additional grow rooms that we applied for approval that got approved. We've now seen this housekeeping item, taking care of what you'd expect to have happen before you can then get to the final step of resolving the licenses. So I think while that's not the agenda item we want to see, we want to see the one we were on for the licenses. When you think about that order of items there. And you think about the conversations we've had with the commission. These are the kinds of things that have us feeling very strongly that before the end of the second quarter, we hope to have this matter behind us. I know it's been a little bit of fatigue for folks. I know it's something you hear a say over and over again. But you're starting to see actual items and fact patterns that I think are starting to lean in the right direction.
TaylorAllison: Perfect. That's all the questions for today.
Mark Scatterday: Okay, Taylor, thank you. It was great to connect with everyone this morning. And we'll look forward to our Q1 earnings call coming up soon. Really appreciate it. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your line at this time. Thank you for your participation.